Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Freeport-McMoRan Fourth Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Ms. Kathleen Quirk, Executive Vice President and Chief Financial Officer. Please go ahead, ma’am.
Kathleen Quirk: Thank you and good morning, and welcome to the Freeport-McMoRan fourth quarter 2017 earnings conference call. Our results were released earlier this morning and a copy of the press release and slides for today’s call are available on our website. Our conference call today is being broadcast live on the Internet. Anyone may listen to the conference call by accessing our website homepage at fcx.com and clicking on the webcast link for the conference call. In addition to analysts and investors, the financial press has been invited to listen to today’s call and a replay of the webcast will be available on our website later today. Before we begin our comments, we’d like to remind everyone that today’s press release and certain of our comments on the call include forward-looking statements and actual results may differ materially. We’d like to refer everyone to the cautionary language included in our press release and presentation materials and to the risk factors described in our Form 10-K and subsequent SEC filings. On the call today are Richard Adkerson, our Chief Executive Officer. We have also have Red Conger here, Mark Johnson, and Mike Kendrick. I’ll start by briefly summarizing the financial results and then turn the call over to Richard, who will be reviewing our performance and the slide presentation that included on our website. After the prepared remarks, we’ll open up the call for questions. Today, FCX reported net income attributable to common stock for the fourth quarter of 2017 of $1 billion, or $0.71 per share. The results include net gains of $291 million, or $0.20 per share, primarily related to tax benefits associated with U.S. tax reform totaling $393 million, partly offset by charges for adjustments to environmental obligations. The benefit from tax reform principally relates to the appeal of the AMT and a refund of our AMT credit carry-forward. After adjusting for these net charges, the fourth quarter 2017 adjusted net income attributable to common stock totaled $750 million, or $0.51 per share. For the year, our net income attributable to common stock totaled $1.8 billion, or $1.25 per share, compared to a net loss attributable to common stock of $4.2 billion, or $3.16 per share for the year 2016. For the fourth quarter of 2017, our adjusted earnings before interest taxes and depreciation and amortization or EBITDA totaled $2.1 billion and $6 billion for the full-year. A reconciliation of our EBITDA calculation is available in our slide materials on Page 37. For the fourth quarter, FCX totaled 1 billion pounds of copper, 593,000 ounces of gold, and 24 million pounds of molybdenum. And for the full-year, we sold 3.7 billion pounds of copper, 1.6 million ounces of gold, and 95 million pounds of molybdenum. Our fourth quarter average realized copper price of $3.21 per pound was 29% above the year-ago quarter average price of $2.48 per pound. Our average unit net cash costs for copper was $1.04 per pound for the fourth quarter of 2017 and averaged $1.20 per pound for the full-year and that compared to $1.26 per pound for the full-year of 2016. We generated strong operating cash flows in the fourth quarter totaling $1.7 billion, which exceeded our capital expenditures of $390 million. For the full-year, our operating cash flow totaled $4.7 billion and capital expenditures for $1.4 billion. We used our strong cash flows to improve our balance sheet. During the fourth quarter, we repaid $1.7 billion in debt and that include – included the early redemption of $617 million of senior notes due 2020 and open-market repurchases of $74 million of notes due in 2018. At the end of 2017, our consolidated cash was $4.4 billion and consolidated debt totaled $13.1 billion. Our debt net of cash of $8.7 billion at the end of 2017 was $3.1 billion less than at the start of the year and $11.4 billion less than the level two years ago. We ended the year with no borrowings under our bank credit facility and approximately 300 – $3.5 billion available. I would now like to turn the call over to Richard, who will be providing additional details on our results and our outlook.
Richard Adkerson: Good morning, everyone. Thanks for joining our call. 2017 results reflect really strong operating performance throughout our global operations, as Kathleen just described. It also reflects the success of our ongoing cost management and capital discipline efforts, strong cash flow generation, we restored our balance sheet strength, developed attractive organic growth options for the future, and we made important and positive progress for the long-term stability of our operations in Indonesia. Most of you have been here and watched our company for sometime, just think about where we were two years ago. We had just lived through as the industry had significant drops in commodity prices. The price of copper was just over $2 a pound. Many expected to drop below that. We had the issue of having $20 billion of debt following the misplaced oil and gas transaction that we did. We had restructured our Board, restructured our management team and were faced with deleveraging. At that Board call, one of you pressed us to say what do you expect your debt levels to be. We weren’t sure at that time. We said, we hope to reduce our debt between $5 billion and $10 billion over the next two years. We are under $9 billion as we ended the year, this year. We were faced with the completion of our Cerro Verde project in Peru, which was a major project, which often are troublesome for the industry. We did not know what we’re going to do with the oil and gas assets that time. There were no buyers in the marketplace in the first quarter, but we successfully exited that business. We thought we were going to have to hold all those assets for a period of time. Many who followed our company were skeptical of our ability to sell copper assets at reasonable prices and we’re working with our partners, Sumitomo with – and Morenci, with China Moly, which turned out to be a great partner to deal within the Congo. We were able to get reasonable values at the time, great investments for those companies, because they recognize the long-term values and the values in the copper marketplace. We had to sell some equity, but we fought our way through that a year ago. In October 2016, I went back and looked at my notes from LME work. There was still people predicting a wall of copper supply, still predicting copper prices in October 2016 of $1.80 a pound. The price on the upside that we were above $2.50 a year ago, but we were blindsided by new regulations that it come out from the government of Indonesia that affected – raised questions about our contract there. They came out in January. Since that time, I’ve spent as much time in Jakarta as I haven’t been. Kathleen has been there on my last five trips. And we were pleased that after facing the prospects of very contentious arbitration proceeding, which we talked about publicly in the first quarter, we have reached a common grounds for moving forward with the government of Indonesia. We now mutually want to get this thing solved. We made a lot of progress now, give you a report on where we stand and answer your questions. But 2017, price of copper came back. So today, we have a company that has really great set of long-lived attractively cost – operating cost profile, assets and resources. I’m so proud of our team. I have Red Conger here, who runs our business in the Americas; Mark Johnson, who runs our business in the Indonesia; Mike Kendrick, who runs our Molydenum business; Rick Coleman, who does our construction projects, who’s traveling. But these guys and their teams just had an exceptional year this year and executing our plan and being focused on doing that, while we’ve dealt with the issues associated over the last two years with balance sheet management dealing with Indonesia. We’ve got a great team. And this team has executed extraordinarily well. You can go back to the early 2000s when we had to deal with a serious balance sheet issue. The successful integration and that repayment following the Phelps Dodge deal in 2007, where we successfully repaid all the debt that highly leveraged transactions within four years after managing ourselves through the financial crisis of 2008, 2009. By 2011, we had a company with no debt, had an integrated team that is the best copper operating team in the industry. Metrics are shown on Page 11 – on Page #4 – Page 4. So the key thing it jumps out is free cash flow generation here in 2017. First part of 2017 was tough in Indonesia. We were restricted on exports for a period of time. We had significant labor problems by midyear. We were exporting and continue to export, expect to be able to continue to export. Our labor relations issues have been really progressed. New union leadership in Indonesia, we signed a new two-year labor contract in December without any controversy or drama associated with it. But even with that issues at the start of the year, we generated over $3 billion of operating cash flows in excess of our capital expenditures. You can see our cost structure. We maintained our reserves. And as I mentioned, we have really reduced our balance sheet. As we look forward to our plan for next year, if copper prices remain at roughly the current levels, the debt level, when I say, next year, this year 2018, we should end the year if we use all of our cash flows to reduce debt at a debt level in the area of $5 billion. So $20 billion to $5 billion is a great progress. Copper market commentary is positive right now, as we’ve seen. Demand is growing throughout the world. For a number of years, many years, China was the source – sole source of growth globally. The day China is continuing to grow, their economy is better than people expected, as you’ve seen. They appear to have dealt with their banking issues that was a big concern, probably still a risk, but growth in Europe, growth in the United States, growth in Japan just tune into the comments at Davos that’s going on right now. And you can hear the positive comments about the global economy and all that reflects into stronger copper demand. Supply side, the issues are still there. Analysts, consultants who follow this business are expecting 2018 to be the first year of lower copper production after providing for disruptions than the prior year, first time that’s happened since 2011. The industry is – supplies, reflecting a very long period of under investments. And even as we speak today with higher prices, we don’t see a wave of new investments being started immediately. So there’s a real absence of major new project on the horizon declining production from existing mines, exchange stocks are low. So, what McKinsey is talking about having a need to balance the market of 5 million tons of new projects over the next decade with a long lead times, the few world-class opportunities with a new usage for copper, transportation and power generation and so forth. The outlook for copper is positive going into 2018 and very positive for the long-term. Now slide – the next – Slide 6 shows where we stand in the industry. Clearly, a leader. We operate all of the mines that we invested in. And if you were to look at the production of our partners and mines that we operate, we operate the leading amount of copper production in the world. Large scale, technical capabilities in all forms of copper mining, whether it’s SX/EW open-pit, sulfide projects, underground mining, particularly block caving, where we’ve been experiencing block caving since 1980s. We have the strong technical team, that’s a huge, huge benefit for our company. And so, I – that’s really strong competitive advantage. The supply situation, I think, is reflected on Page 7, where we have a listing of the largest copper mines in the world in terms of reserves and production. Notably, no – there are no mines on here that have been discovered in the last 10 years. In the last 20 years, the only two mines, Oyu Tolgoi and Las Bambas. Everything else is old ore bodies now, because we don’t have new extent – new greenfield projects of size in the imminent outlook for copper demand, copper supply and makes it more significant these brownfield opportunities that we have with our ore bodies, and we’ll talk more about those we have. Besides our technical capabilities, I think, the real strength of our company lies in our current resource space, our 2P reserves. So we’re a big producer to about 4 billion pounds a year. But you look, we have proved and probable reserves of 87 billion pounds, mineralized material of another almost $100 billion pounds and potential of 150 billion pounds, altogether that’s 335 billion pounds, now what does that mean? And by the way, of the total half of that’s in North America. And today, in North America, with the power cost advantage that we have here in the United States, that’s come about, because the shale revolution in natural gas and crude oil, with the improved regulatory situation that we’re – that we now have, and with a very flexible work force, which allows us to deal with changes in our business, whether we’re expanding or having to reallocate resources, the support we get from states, local communities, the big advantage of investing in the United States, which is still from a political risk standpoint, best country in the world. And now with this new tax bill, that – that’s another advantage. Now, we are not like most trans national companies in the United States. We were already paying higher tax rate outside the United States than inside the United States. We also had a very large and we continue to have a very large loss carry-forwards for the oil and gas business. So we don’t have the issue of repatriation. The taxes are much lower, current tax tax rates. But we do benefit from the fact that the AMT provisions were repealed, that’s going to allow us to file for refunds over the next four years or so $400 million to $500 million of additional cash. The tax law retained a percentage depletion for mineral resources. So even looking out beyond the time that we have just a long period of time with these loss carry-forwards, the new tax law was a benefit to us long-term. So what we’ve got these beyond our proved and probable reserves is really a great deal of optionality for the future. The strongest assets in the mining industry are long-lived assets. Long-lived assets, you don’t face the investment risk. You don’t have to have success, the Greenfield exploration. You don’t have to make acquisitions when you have a resource base like the one that we have. And it’s not limited to any single mine. We have a very large footprint with five operations in the United States that have very large sulfide resources that we’ve identified. And over time, I’m convinced that the world’s going to need the copper out of those. South America, we have a really attractive project in Chile with our El Abra project, where we’re partners with Codelco to develop a very large sulfide resource. Lots of capital, lots of studying be done. We’re doing studies now. We haven’t committed to spending capital on it, but we’re preparing ourselves, too. We have a couple of attractive exploration projects. We had a exploration project in Serbia, where we entered into partnership with Nevsun, who is continuing to do drilling and they’re looking to develop and – Upper Zone, the Lower Zone is of size, and we have a significant position in it. And while we sold our Tenke Fungurume project in the Congo, we still own an undeveloped resource that’s in the area called Kisanfu. It’s – we believe the largest undeveloped cobalt deposit in the world. It’s permitted and we’re looking at opportunities of developing it or entering into partnerships with other operators there. In the Congo, we have a lot of interest that people willing to buy that outright, but it gives us a lot of options to consider with this big resource. And in Grasberg district, while we have a clear cut plan of developing and operating. Through 2041, there’s significant resources beyond that time, they will come into play. Looking at Americas, it was really strong performance. Congratulations, Red, and your team. In the fourth quarter, we sold 666 million pounds of copper in that quarter alone. I mentioned earlier, the Cerro Verde expansion, that concentrator averaged 374,000 tons per day in the fourth quarter and that’s only 360,000 ton nameplate. I believe, it’s the largest concentrator in the industry and is operating very effectively. We continue our focus on cost and CapEx management. Some factors are coming into increased cost at the margin. With the higher copper prices, our margins are growing, but we continue to be disciplined in the way we spend money. We are advancing these studies for looking for future growth. But you can just see what a great business this Americas business is. In the fourth quarter, we had $450 million, $500 million of cash flow after CapEx, and for the year over $2.5 billion. Still in our memory the time when it was said that Southwest copper district in U.S. was dead. Now it’s profitable with major opportunities to invest capital, employ people. Our company supplies more than 40% of the copper to the U.S. district, and we’re going to continue to take advantage of that. The sulfide projects in the Americas include five projects in the U.S. and the El Abra projects in Chile. These reserve numbers we’re using is still based on a $2 copper mine plant, so there’s significant upside at higher prices, both in our reserves and resources. But this is a – we’re monitoring market conditions, going to be very disciplined in deciding when to go forward with it, but it’s a strength of our company. One project we are moving forward with is the Lone Star oxide project. This has been a resource. It’s been known for decades in the industry. It’s located seven miles from our Safford mine, which is just across the mountains from Morenci and Eastern Arizona. We’re going to start or we are starting with a project to mine an oxide cap to this big sulfide project. The current project has reserves of 4.4 billion pounds of copper. The capital would be $850 million spent over several years. We’re commencing free stripping activities in the first quarter of this year. While this will serve to strip cover over the big sulfide resources going to be done in a very profitable way, because when you take that oxide material transport it to the Safford processing facilities, Safford is a mine, which is declining. It had a limited life, it has a big sulfide resource at depth. But now we’re going to be able to use the facilities at Safford to mine this oxide or and have production of 200 million pounds of year for 20 years unit cost of $1.75 with over $1 billion of NPV at 350 copper. So it’s a good project. But what it does, it gives us exposure to a sulfide deposit lying underneath the oxide deposit. It has 60 billion pounds of contained copper. Now this would involve ultimately the development of a big concentrator mill and so forth, but it’s an attractive way to get exposure to that bigger resource. And we’re showing the drilling that we’ve done to date, that defines the resource and our 2017 drilling, which we spend a bit more money on than we had originally budgeted. But showed the extension of this sulfide resource, it was very positive. And as you’ll note, you’ve got some attractive grades that are in the current outline for the resource. But these deeper holes continue to encounter attractive grades going forward. So this is a great current and future opportunity for us. In Chile, the El Abra sulfide project is a good project. I mean, this is really a good project. It’s a big project. It is in our inventory. We’re working with our partners, who are working with other landowners in the region to see if we can cooperate with them. It’s in an altitude if we acquire saltwater…
Kathleen Quirk: Desalinization.
Richard Adkerson: Desalinization project and transportation of that water of high. So it’s going to be a big investment, but it’s 2 billion pounds of 4 and 5 copper. Our correct expectation is that, it would involve the building of 240,000 tons per day concentrate somewhere to Cerro Verde could produce 750 million pounds a year. It’s a six to eight lead-time and we’re engaged in prefeasibility study and permitting panning now, so it’s something that will develop over time. We’re in no rush on this, but it’s going to be a great project for Freeport in the future. And you can see the results of drilling that have been done to date. You can see the reserve pit that has been identified the mineralized material shale and the continuation of mineralization with our deeper drill holes as we go forward in Indonesia. So, Mark, I want to again, congratulate your team for meeting the challenges that we faced at job site, while we’ve been dealing with this attention on the negotiations with government. I mentioned earlier, we had exports disrupted. We had labor problems. And the labor situation is so much better than they have been it’s been since going back to 2010 timeframe. We’ve had some security issues and that’s Papua is always going to be a complicated place to operate. But in the last couple of months, we’ve had some security issues. The thing that’s encouraging now versus previous times is, we’re getting great cooperation from the Indonesian authorities. The head of the police who had previously served in Papua is totally engaged. I’ve got to know General Tito a number of years ago, he’s very well regarded in the government, he understands it and he is committed to help us. There’s a new head of the military and they’re working together with the police. So you can see the results of that. And I know there’s continued concern about the uncertainty about our contract and so forth. But the balancing deal we’ve been working with is to progress the discussions with the government and take advantage of this high-grade ore that we have available to us as we mine the pit. My first trip there was 1988, when the second drill hole we drilled at Grasberg. I took a little picture of the exploration chat, where I took that picture to date. There is a pit, that’s a kilometer deep and 2.5 kilometer across that – since that drilling has been developed, we’re at the very final stages of mining to pit, very little waste material to move, very high-grades of the core of this ore body, and we’ll be mining that for the next year or so. And so what that has generated for us this year, including negative impacts that we suffered at the first of the year is over $1.5 billion free cash flow, that’s important to our company. Now, what is really important to our company is, getting the rights to operate through 2041. And I’m pleased to report those negotiations are advancing in a mutually amicable way. We have very good working relationships with the ministers that have been assigned to represent the government on this. The negotiations are at times challenging as all negotiations are. But we have mutual respect, positive views about each other and a mutual objective of getting to this stability. Now, what we’re pushing for is, having fiscal and legal certainty for our long-term mining operations, and that’s through 2041. And that certainty means that, we end up with a agreement that gives us those rights reserved, so that they can’t be changed by future laws and regulations. And the government has accepted that. We have agreed to provide mutual financial – provide financial benefits to the government that are in excess of those under our current contract, and that’s principally by paying higher royalties, we redeploy higher royalties. We’ve agreed to two things that the Indonesians have really described as being nonnegotiable from their perspective. One has to do with building new smelter capacity and we are looking, we are approaching this with a commitment to do it, we told the government that we would do it in conjunction with getting this extension. We are working now at looking at a partnership with a company called Amman, PT Amman which acquired Newmont mine in Zimbabwe, the Batu Hijau mine and it would make sense for us to do something together, so we’re talking about that, but with any event we have committed that within five years of signing of definitive agreement, we will build this new smelter capacity and do it in as cost efficient way as we can. We’ve also agreed and again this was a nonnegotiable point with the government of Indonesia that we would work to give the government of 51% interest in the project and the – what is actually a joint venture operations for the Grasberg operations between us and our joint venture partner. And we said we would do that so long as we have fair market value for any divestment and that fair market value would be based on valuations used internationally for resource assets and the government has agreed to that. We also said we would do it so long as Freeport we continue to have control over operations in the governance of the business. A very complicated business, we’ve invested billions of dollars to date, we are going to be managing another multibillion dollars investments as we go forward. I’m not stretching to say it’s the most complicated mine in the world because of its physical location, it will be the largest underground mine ever developed, environmental issues are very challenging, community issues are challenging. We will work together as partners with the Indonesians and provide them a meaningful participation in it, but we need to make sure that it’s run in the right way. That said, we’re the best copper miner in the world, the governments state-owned business has some mining experience, but it’s not anywhere near the scale of ours or with the complexity of ours and none within the copper business. So we have this mutual objective of completing the negotiations and going forward. Our temporary IUPK has been extended to June, our contract award today is in place, the government has agreed to that, we’re exporting we expect to be about to continue to export and we are going forward. The government – we are aware that the government is engaged in discussions with our joint venture partner about the potential of acquiring their interest. In preparing for that they are going through a process of doing due diligence to build a record to show that they have – understand what they are doing. And we are cooperating with that providing them information, meeting with them and so we’re helping to facilitate that transaction, that transaction would be the best outcome for all parties I believe, provided they can reach agreement on valuation. The valuation negotiations are between the government and our joint venture partner, that’s a separate interest from ours, so we’re facilitating the process, but that’s part of the negotiations that we don’t have control over. But all that’s moving forward, as I said, a whole new attitude about getting there, allowing – the government recognizes we need to continue operating, they need the revenues in terms of their taxes and royalties, they need to have employment in Papua and all that translates to our, continue to generate cash flows. So really our Grasberg today is, we are completing mining the open pit. Development started in the early 90s in one of the great mining operations, most years we were moving 700,000 tons to a million tons a day and now it’s coming to an end, but it’s the same ore body that extends down to depths where it’s more economical to mine underground and so that’s what we’ve been focused on is the development of the Grasberg block cave. Now we are currently producing from an adjacent mineral system that we began mining in the early 1980s and we’ve continued to mine at deeper horizons and expanding it and this mine currently that we’re mining from is the DOZ, the new mine is the DMLZ which we began production in ‘15 or ‘16, in ‘16 and we continue to have the opportunity to expand this resource as we go forward. So add this altogether, we will – our plans call for us to process through our mill from the underground, ore at rates of about 240,000 tons per day, for the long term, continuing to 2041. And while – if you look at the next Slide 18, while all of this has been going on with the government and the labor and everything else, our team has just been plugging away at developing this Grasberg block cave infrastructure and we are virtually completed. We got access to the underground, we can’t start developing the block caves until we complete mining from the pit, we are now completing the ore delivery system, there is actually a train involved with this and that will be done this year so that by the end of the year we’ll be ready to turn the switch on, start mining from the pit, start mining from the over ground – underground. Now this has been a challenging high risk project and Mark and his team has done just a great job in focusing on that and getting that done and I will say that the risk of doing that are now behind us. Once we start managing the underground, we’re going to be ramping up to where this mine will produce a billion pounds of copper a year. Very significant, a million ounces of gold a year on average and that will give it a really attractive cost structure. You know I don’t do this very often, but just to put this in perspective of what we have here in the Grasberg underground, it’s just under a billion tons of ore, with a copper equivalent approaching 1.5% when you add the gold into it. Las Bambas has just over a billion tons of ore, they have 0.8 copper equivalency. We would produce 31, over 30 billion pounds of copper equivalents, they have about 20. Cobre Panama, which is a great resource has over 3 million tons of ore, but a grade of 0.43 billion tons of ore, but 4, 0.45 copper equivalents. So compared with other great ore bodies around the world, this is certainly going to be one of them and one which we’ll make a lot of money off of. So the key milestones that we’ve completed to date shown on Slide 19, 220 kilometers of development, mine access, shaft, ventilation, rail connection, crushers, batch plant, and so we’ve got work to do this year, but as I said, my view is the risk of development has been met. Now what does Indonesia get out of this? Well, it’s a very attractive deal for the government on our existing cap. To date, they’ve gotten almost 60% of the financial benefits of the total operations, we’ve been there 50 years at Grasberg we discovered in the late 80s, since 1992 when our most recent contract came into place, we’ve contributed $60 billion to their national GDP, the largest employer in Papua, one of the largest tax players in Indonesia. We’ve contributed over $700 million since 1996 voluntarily to a Community Development Fund. And as we look forward for the government, future taxes, royalties and dividends through 2041 would exceed $40 billion, good deal for the government, good deal for our shareholders. 2018, our guidance continues the same at about 4 billion pounds of copper, 2.4 million ounces of gold, 90 million pounds of molybdenum, which by the way, is having a more positive price environment right now than we’ve had in recent years. Attractive site production and delivery costs of $1.60 after byproduct credits about 90 – less than $1 a pound. And operating cash flows at $3.15, copper would exceed $5.8 billion highly leveraged copper prices each $0.10 is $360 million, just over – roughly $2 billion of CapEx, including $1 billion on the underground development in Indonesia and the development of the Lone Star project. And about $1 billion for other mining sustaining capital, some of which has been deferred in recent years, the clearly right cash margins over CapEx are unit cost. By area North America, South American and Indonesia are shown on Page 22, as well as our sales by region just make reference to that since I’ve already talked about it. Our sales profile, as we look forward for the next two years, 2019 will be a transition year. We expect of moving from the open-pit at Grasberg to the underground. There is going to be as – while we’re developing stockpiles and so forth, there will be a interim drop in production, which will build back up to a average over the next two years of approaching 4 billion pounds. And you can see that with our outlook for gold production. Quarterly sales are shown on Page 24 for the upcoming, for this year 2018. And then Page 25 shows a model that we show each year for the next two years, giving EBITDA and cash flow numbers. At $3.25 copper, we would have average $7.3, EBITDA of $5 billion of operating cash flows. 2018 will be higher than this average because of the transition year in 2019. And the sensitivities for our – the metals that we produce and the currencies presented on Page 26, capital expenditure outlook, which I referred to earlier, is – presented on Page 27, I’ll just note that this does not include spending on the new smelter in Indonesia and we’re looking at financing alternatives to finance that aggressively with project type financing for the smelter. So just going back to what we’ve done with our balance sheet improvement over the last two years ending the year at $8.7 billion. And if we use all excess cash flow executed on our plan, realized these copper prices, you can see that our debt would drop. significantly during this upcoming year because of strong commodity prices. So in closing, we’re really optimistic here about our company, about the outlook for copper and this long-term fundamentals. We like being the industry leader. We have a lot of Freeport people that listen to this call. And for all of you on the call in front of our investors and analysts, I just want to tell you how much I and our Board, being a Board and senior management team appreciate what everyone has done this past year. It’s been a challenge. We’ve had to support each other build our morale to come back. Two years ago, our – the market was telling us through the CDS trading that there was well over a 90% outlook that this company would default on its debt. That’s two years ago. Now our credit default swap has gone from a high of 2,700 to below 150 basis points. We’re going to get better. Our credit – I expect our credit rating to increase over time. But what I’m really proud of is, what this team has done. We shown our metal. We continue to do that. I couldn’t be more proud to be part of it and look forward to 2018 to be a year of ongoing and major progress and accomplishment.
Kathleen Quirk: Operator, we can take questions now.
Operator: Ladies and gentlemen, we will now begin a question-and-answer session. [Operator Instructions] Your first question comes from the line of Alex Hacking with Citi. Please go ahead.
Alexander Hacking: Hi. Good morning, Richard and Kathleen.
Kathleen Quirk: Good morning.
Alexander Hacking: Regarding Grasberg and the potential that the government might buy the 40% stake from your JV partner, Rio Tinto, how likely do you think that outcome is? Is that now the most likely outcome in your view?
Richard Adkerson: It’s – at a stage of negotiation. So you don’t want to get ahead of those negotiations. It appears to be the desire parties to do that. So I would characterize as a most likely outcome.
Alexander Hacking: Okay. Thanks, Richard. And can you remind us of what Rio Tinto’s CapEx commitment is to developing the underground? And would you expect that in the scenario, where the Indonesian government buys Rio Tinto stake that they would also assume that that share of CapEx commitment? Thank you.
Richard Adkerson: Yes. We have an understanding within Indonesian government that – in the event that they do a deal with Rio Tinto Freeport’s economics under the existing joint venture agreement would be preserved. Alex, you understand what I say? Am I saying clearly?
Alexander Hacking: Yes, yes.
Richard Adkerson: Okay. So…
Alexander Hacking: Yes, I understand that clearly. Could you just remind us what Rio’s commitments are?
Richard Adkerson: All right. Well, it’s complicated in that this joint venture agreement is relatively complicated, because under the agreement, which was signed in the mid-1990s, certain projects are designated as expansion projects and certain projects are designated as replacement capital. Rio Tinto placed 40% of the expansion projects and small amounts of the replacement capital projects, we’ve agreed to share other projects 50-50. So there’s not really an easy answer for that. But if you look from right now through 2022, when the conversion would be under the joint venture agreement to a straight 40%, after that, it’s a 40-60 joint venture sharing straight up. Their projected cash flows…
Kathleen Quirk: Pretty much offset the CapEx.
Richard Adkerson: …pretty much offset the CapEx, and those are going to be based on whatever copper prices there are.
Alexander Hacking: Okay, thanks. That’s clear. I’ll let somebody else ask the question now and I’ll hop back in the queue. But thank you very much.
Richard Adkerson: Okay, Alex, thanks.
Operator: Your next question comes from the line of David Gagliano with BMO Capital Markets. Please go ahead.
David Francis Gagliano: Okay, great. Thanks for taking my questions. Just stepping back for a minute. Obviously, the balance sheet significantly better than it was. Stabilization in Indonesia, at least, seems to be heading in right direction. And it’s like quite a bit of free cash flow generation potential. Way back when the management team, the Board did payout this free cash flow dividends, special dividends, pretty big one at points. And obviously, on this call, your opening remarks are really more focused on highlighting the project. So I have a high-class problem type of question. As we go through 2018 and 2019 is a preference to spend that cash on developing projects, or is there also thoughts towards giving some of that back to the shareholders?
Richard Adkerson: These projects are very long-dated, Dave, I think, as you know. So we’re not likely to be spending significant amounts of capital on these projects in 2018 and 2019. We’re now building into our CapEx numbers this Lone Star project, which is a good project, but not huge. So with positive cash flows, my expectation was – is and we’re – this is a Board decision and we’re talking with the Board and this has emerged pretty quickly with the copper price coming back so quickly and so forth. But my expectations are that, we would be looking at our long-term tradition of returning cash to shareholders.
David Francis Gagliano: Okay, that’s helpful. Thank you.
Richard Adkerson: And we’re going to be very disciplined about all these projects. They’re big, they’re low risk. But we’re – there’s still risk to the global economy as we all know and we’re going to keep our finger on it, see how it’s progressing, how China is doing, how the rest of the world is doing. And – but my expectation is, we’re going to be generating cash. And I believe, our Board will be predisposed to returning to shareholders when we can.
Operator: Your next question comes from the line of Matthew Korn with Goldman Sachs. Please go ahead.
Matthew James Korn: Hey, good morning, Richard and Kathleen. Thanks for taking my questions. At Grasberg, operational question, now given all the challenges in the last several quarters in the production side, maybe you can remind us if nothing would have changed from the current situation of the government? When would Rio’s 40% stake kick in? Would that be 2022, 2023 now? And then once the whole Block Cave is ramping and you’re deep into, maybe the next decade, everything is as it should be. What kind of production delivery cost that you expect once we’re there and solidly on the ground?
Richard Adkerson: Okay. So the answer to your first question is 2022 and sort of when in 2022 is at the margin could vary, but it’s going to be expected to be then. And our net cash costs at $1,300 go and current levels of production is going to be in the neighborhood of…
Kathleen Quirk: Low $0.50 a pound.
Matthew James Korn: Okay. All right. Got it. And another thing that’s come up as we talk to lot of companies is that the – now that there’s no tailwind from currency, from oil other kinds of improvement, other kinds of help on the price or the cost side. People worried about wages, they worry about labor, they worry about capital goods. I’m curious if – as you outlined your capital spending over the next couple of years, how much of that is on yellow goods? And how much of that would be exposed to, say, price that’s not completely locked up, or PPI linked, or are you still don’t have a complete visibility there?
Kathleen Quirk: What we do have in our capital plans just maintenance and replacement of trucks. We tend to do a lot of truck rebuilds ourselves with our dealers on part. So there’s in our sustaining capital a significant portion of that includes maintaining our equipment and replacing our equipment. We are seeing some past inflation. You can just watch the oil price and are seeing some cost inflation from oil-related prices. But our team is very focused on being very disciplined about spending money, both operating and capital and timing it in a way that that we’re not in a rush to get the equipment. We’ll do it in a smart way and be disciplined about, again, just trying to use what we have on hand and the new stuff that comes in just being disciplined about the timing of purchases of that equipment. But there is some cost inflation that’s coming through both on operating and capital.
Richard Adkerson: Yes, there’s definitely some correlation between some of our input cost and copper price. I mean, that’s just – I mean, we’ve got trucks from Indonesia, in New Mexico right now and more on the way. Red, when is the last time we bought a new haul truck?
Mark Johnson: 2008 was the last new haul truck.
Richard Adkerson: New haul truck – last new haul truck we bought was 2008. So we’re having great experience with this rebuild program. We’re working on extending tire lives. I mean, it’s a constant deal. We need as a senior management team with our mine operators the week before our earnings call. And this relentless effort these people have to try to find ways of offsetting cost increases with efficiency gains is really remarkable. I mean, we use a lot of diesel, but power for many of our operations comes from not from petroleum. And so, anyway, we’re going to offset a good bit of that. But it’s going to be a factor for the industry. I mean, we – lots of years we’ve been Caterpillars biggest customer. I had a chance to glance over their earnings release early this morning. So I mean, you can just see what’s going on that and labor issues will be an issue. And one of the things in terms of the industry is next year, there’s a lot of labor contracts coming up in this year, I keep saying next year, 2018. Thanks, Red. This year, there are a lot of labor contracts in Chile and Peru coming up. And you can expect those negotiations to be challenging, it could be supportive from a supply standpoint. So Codelco has a real challenge in maintaining production. All these things are challenges for the industry, but they’re supportive of supply.
Matthew James Korn: Got it. Thanks for the comments. So good luck for everything.
Richard Adkerson: Thanks, Matt.
Operator: Your next question comes from the line of Andreas Bokkenheuser with UBS. Please go ahead.
Andreas Bokkenheuser: Yes. Thank you very much. Just a question on Grasberg there as well. You mention that the Indonesian government has agreed to pay fair market value or it considered the divestment at fair market value. It always seem that they did agree to fair market value, but their fair market value estimate was always much lower than yours. Would you say that effectively you have now agreed on a fair market value for the divestment, or are you still somewhat a part on that issue? That’s the first question.
Richard Adkerson: Let me answer that…
Andreas Bokkenheuser: Yes, I’m sorry, go ahead.
Richard Adkerson: Let’s go ahead and answer as you raised them. So one thing and those of you who are veterans of this know this. There are lots of things that come out in the Indonesian press that are comments about people either in government or in business who are not directly involved in the process. So be cautious in overreacting to things that you might see that are said. Now, we have not had a negotiation involving an exchange of values and so forth with the government of Indonesia on divestment values. What we have agreed to is a recognition that the standard for those negotiations would be as they are in all of the negotiations that we have standards related to way resources are valued in global markets. So this idea of limiting the valuation to 2021, when our primary term of our contract ends. Our saying, you don’t take into account reserves and so forth. All of those things are not part of the discussion any longer. The government has appointed internationally known financial advisors to work with them in this process, and they are being engaged and it’s being additive to the process. So while we have not negotiated value now, this issue with our joint venture partner really changes what the divestment obligation from Freeport would otherwise be. And so that negotiation is of much less significance to us than it would be if we were having to divest 51% of PT-FI. So all of that’s in play. All of us had hoped that this would progress more by the end of 2017. But the government concluded they needed to go through a due diligence process and we’re working very cooperatively with the government and its advisors on that process right now. So while I can’t say that there has been this give-and-take or specifics on values, I do feel comfortable that the values that will be negotiated will be reasonable.
Andreas Bokkenheuser: Thank you. That’s very clear. And just a second question and I’ll just talk about something other than just Grasberg. In your Americas operations, we did see a bit of a drop in lower grades and recovery rates as well, which is something you’ve guided for before. Can you give us a sense of, is this mostly just one-off, or there sustainability to it on the operational side? Thank you very much.
Harry “Red” Conger: Yes, Andreas, this is Red. We did have lower recovery primarily at Cerro Verde in the last quarter. We took or out of stockpiles in the area, in the where the material has been oxidized, but it didn’t recover as well. We don’t see that as an ongoing thing in the future. We’ve also got some changes in mining rates in those kinds of things right now that are making the numbers jump around a little bit quarter-to-quarter, that’s all going to even out as we go forward.
Kathleen Quirk: As we look at the guidance going out for the Americas business, our numbers are relatively flat in terms of copper production that’s sustainable over several years.
Richard Adkerson: Over several years. I mean, we’re brining – it’s not a big numbers, but we’re brining up Cerro mine and with higher moly prices. Its cost cost structure is attractive. And then I pointed out in El Abra, we are – where we curtailed production. We curtailed production in both of those operations when prices drop low. We’re building those back up and then coming into play. Over time will be this Lone Star Project, which has cost structure that’s right in the neighborhood of our current level of cost structures, so.
Andreas Bokkenheuser: That’s clear. Thank you very much.
Richard Adkerson: Your next question comes from the line of Chris Mancini with Gabelli & Company. Please go ahead.
Christopher Mancini: Hi. Thanks a lot. Just first quick question is, just relative to this potential framework that you’re talking about with Rio Tinto and the Indonesian interest having that 40% stake post 2022, just to be clear. So even if something were to be agreed to, say, in the next few months, Freeport would still have – would have 90% – would have the right to 90% or 90.5% of the economics of Grasberg until – until 2022, or whenever the Rio stake would kick in, right?
Richard Adkerson: Yes. Now that is not a certain percent that varies because of this metal strip concept that was part of their original contract. But what I’m saying is that, we have an understanding that we will maintain the economics for Freeport that’s embedded in the current joint venture structure.
Christopher Mancini: Okay.
Richard Adkerson: And there are structures that that might change how that’s done. But we reviewed that. We had very good discussions with the Indonesian, explained it to them, explained how important it is to us, because we’ve worked all this time to take – to benefit from this period. And so they understand it and we have an understanding that our participation will not be diminished in the event of their acquisition of the Rio Tinto interest.
Christopher Mancini: Okay, great. Thanks. And just a quick question about Lone Star. So you’ve made the decision to proceed with the project $850 million and around $200 million pounds of copper a year. Could you just maybe describe your thought process relative to like how you think about approving certain projects relative to their the IRR, or the NPV of the project and what copper prices you use? And just generally speaking, how you evaluate it the decision to invest the capital in that project, and maybe how that might apply to, say, your next project like El Abra or something like that?
Richard Adkerson: Well, it was a much easier decision. Let me just say with Lone Star then the next decisions will be. And that’s because we had this unused underutilized processing facilities at the Safford mine that was nearby. So we didn’t have to invest in a new SX/EW facility and so forth. So it was a pretty straightforward deal. I mean, this is near surface oxide material. You just need to determine how you mine it, how you transport it to the facilities. The rates returned very attractive. And it had the added benefit, as I said, of then exposing the sulfide or which would give us an option for future development of that. Around the world today, a lot of the newer deposits tend – most of the significant oxide projects have been developed. And so you’re looking at sulfide deposits and frequently you’re faced with a very large expense of stripping those to have that opportunity here. Our stripping is going to generate positive return for us. It’s going to add volumes, attractive cost and serve for the stripping thing. So it was an easier decision. In looking at projects in general, we don’t focus on any particular price. Now reserves are based on a $2 price. We talk about changing it. But that’s kind of a regulatory disclosure issue and there’s no sense in going through a huge internal exercise of raising the copper price $2.25 to $2.50. I mean, but when we come down to really thinking about investing in an El Abra, in a Lone Star sulfide or Bagdad sulfide or the next step at Morenci. We look at an array of prices and not just how that fits in with that project, but how it fits in with our overall portfolio. So that we think how would we manage this if things got tougher after we’ve spent the capital. Can we deal with it? And then we won’t – we have a positive long-term view of copper, so we want to take advantage of this. And so we have the optionality of having these big projects to participate in the long run. So it’s – I’m kind of like that add for the insurance company, the farmer’s insurance company. I know a thing or two, because I’ve seen a thing or two. And the – my experience has been, when companies get too formula-driven about hurdle rates and prices and things like that, there’s another saying, I have around here is figures don’t lie, but liars figure. And so, if you get too structured like that, people are going to play the games with you sometimes not intentionally, they come up with something that meets those formulas. So we go away from formulas. We work together. What I love about our team is, we’re not negotiating between operators and corporate. Kathleen works with her team hand in hand with these –with our team, as we’re working and looking at this. And then we think about, okay, if we expose this capital, what risk are taken for the company going forward? How does it fit in with the rest of our assets? That’s why we felt so good about the Tenke project. It was how risk, high return deal, when nobody else was going into the Congo. We didn’t give any value to it when we bought Phelps Dodge. I wish, we still own it, but we did get almost $3 billion of value created. During – we started this in early 2008. So given the financial crisis and what’s out with commodity prices, it was a good deal. But we recognize, it was a very high risk because of the political situation, the nature of the ore body and the mineralization, which was different than others. But – so that is much more of a…
Christopher Mancini: Right, right.
Richard Adkerson: …interactive process we have been than something that’s formula-driven.
Christopher Mancini: Right.
Kathleen Quirk: And the Ore Flow project fits right into our strength in terms of the geographic footprint, where we’re already operating a lot of synergies of the Safford team with the Lone Star team. And one of the big things we look at in qualifying projects is the size of the resource and the life of the project. And just, because something has a high NPV, but if it has a short life, it’s not something that we are excited about disposing dollars to it’s more of multiples in NPV that you can get over a long period of time, so that’s really…
Christopher Mancini: Right.
Kathleen Quirk: …something that excites us. And looking at a range of copper prices like the Lone Star just for the oxide had a break-even up to 40 with an 8% return, with a lot of exposure to higher prices, but also exposure to the big resource that Richard talked about earlier.
Christopher Mancini: Sure, okay. Right. So Lone Star really is just a little risk from a jurisdictional perspective, from a technical perspective, and it just provides you with lots of optionality to the upside. And so it just made sense to spend that capital. And then as these other projects kind of become available, you just have to weigh all of those different – all those different things in terms of the risk to completing it or a risk to operating at the optionality and what not. So I think I…
Kathleen Quirk: Exactly.
Richard Adkerson: You got it.
Christopher Mancini: Okay. Okay, thanks a lot, guys.
Richard Adkerson: Yes.
Operator: Your next question comes from the line of Michael Gambardella with JPMorgan. Please go ahead.
Michael Gambardella: Yes, good morning, Richard and Kathleen.
Richard Adkerson: Hey, Mike.
Michael Gambardella: Couple of questions on Grasberg. But first, just congratulations on derisking of the balance sheet now work in the last couple of years has been significant.
Richard Adkerson: All right. Thanks, Mike.
Michael Gambardella: Looking back to the Grasberg, I just wanted to clarify, I think, what I heard you say before. So in terms of your agreement with the government right now, has the government formally agreed at if your stake were to go under 50% that you would still maintain operating control?
Richard Adkerson: Yes. Well, Mike, I want to be clear about this. In some ways, I’d like to just say, we’re working on this and defer comments, but I know, we’re just not in a position to do that. We’re not in a position to do it with people who follow us and our shareholders, and the Indonesian government has to respond to the – they have to respond to their parliament. So we all have constituencies that we have to talk about these things when things aren’t finally complete. I’ve tried to use the word understandings, because while we did agree on a framework, we don’t have formal agreements with the government yet. And there are still issues under discussion and we’ve been very clear on our position. We believe we have gained the degree of understanding from the government. But there are different views within the government’s team, the government itself. So this issue of control is one that’s very important to us just because of the factors that I mentioned earlier, the nature of the project, and the importance of having a disciplined investment in this underground. If you – without having a disciplined approach to the underground investment, the value of this asset dissipates. I mean, because this is – as you know well, Mike, when you’re dealing with these big projects and particularly Block Cave projects, you have to follow a plan and stick to it and deal with the long-term. So that’s one thing that – the main thing that we’re saying is, we have to be able to sustain that approach to investing and running this business. It is unusual, but not – but there are other limited cases of where investors own more than 50% of an asset economically and control is transferred to a minority owner. That’s complicated, and all of that hasn’t been worked out yet. But that – so I don’t want to say that, we have a formal agreement with the government on that. And again, you’ll see comments on that in the press that talk about that. We are committed to have a very successful partnership with the government, with their state-owned company. We’ve pointed to them what good partners Freeport has been in all of our operations, whether it’s our multi-project partnership with Sumitomo, with our partnership with Lundin that we had in the Congo, with the various partners we have in Cero Verde, with a partnership with Codelco in Chile. I mean, we do a lot of work with Rio Tinto. We’ve had an excellent partnership with Rio Tinto. And the government really recognizes our operating capabilities and the need to have us to continue. So there’s no question about that. It’s this issue of how we work together in developing corporate policies and capital allocation, financial policy, purchasing policies, environmental, all those things that are so important to success in the operations. So, Mike, that will be part of the final agreement, and that’s where we stand right now and that’s what our position is.
Michael Gambardella: From an economic standpoint, say, let’s just assume, Rio Tinto signs a deal with the government, is your understanding that from an economic perspective aside from smelter, aside from that, is your understanding the economics of your agreement same as they are today there’s no change or is there anything else that would?
Richard Adkerson: Yes, that’s – we’ve had – we have had good discussions. We spent time explaining this and so forth. So that the acquisition of Rio Tinto interest would not change our economics. Now, in the framework for reaching the long-term agreement, we have said that, we would agree that the government’s financial benefits from the project will increase. These things may be reshuffled and reorganized in certain ways. But at the end of day, there would be – the government will be able to say to the people of Indonesia, they’ve negotiated a larger participation. And that larger participation would come through the fact that we are paying higher royalties than under the cap. And in fact, we’ve already been paying these high royalties since mid-2014. But the royalties would be, they use the term more than we do, but the royalties would be nailed down. In other words, we’ll agree on the royalties today and that would be the royalties for the remainder of the project. We agree on tax elements now and we made a lot of progress in defining them. We agree on local taxes and fees, all that would be nailed down.
Michael Gambardella: The final question on Grassberg. But the Board, could someone give us the feel for after tax situation. Right now, I thought you [Technical Difficulty] your entity?
Richard Adkerson: No. Well, so Mike, you were fading out. So I don’t cover your question. Come back and ask me to fill in. So the way that our tax situation has been structured, I mean, we’re – FCX is a U.S. company then we operate in these countries where we have mines through entities in those countries. And those entities are subject to taxes and royalties in those countries. Then, under the previous tax law you would consolidate all of that into a U.S. company and you’d have a consolidated tax calculation, but you would get foreign tax credits for taxes that you pay internationally. And then, and so, and there was limitations on that, there was this alternative minimum tax calculation that would come into play, but then you would calculate a U.S. tax on the base of that consolidated results. Now to the new tax laws, they’ve gone to a territorial system and so now the, in large part the U.S. taxes will be based on the taxes for the income you generate within the U.S., the U.S. And within the U.S. we have a very large loss carry forward. We also have the benefit of percentage depletion which was left in the law and the AMT was repealed. So, we will have no taxes for as far as you can see in the U.S. We will continue to pay the taxes in these individual countries based on their own tax laws and our stabilization agreements and so forth.
Michael Gambardella: Fine, thank you, Richard.
Richard Adkerson: Did that cover Mike?
Michael Gambardella: Yeah and that covers it, thanks.
Richard Adkerson: Okay.
Operator: Your next question comes from the line of Lucas Pipes with B. Riley FBR. Please go ahead.
Lucas Pipes: Hey good morning everybody and congrats on the progress in Indonesia. I was unfortunately on another call early on, this may have been addressed, but I wanted to touch on it, the net sum, I remember that there were export royalties in place while you were negotiating the new structure in Indonesia and I wondered to what extent is that currently being covered in the negotiations and Kathleen when you gave the $0.50 per pound cost guidance for I think 2022, would that include all of those royalty costs, in case they are even applicable? Thank you.
Kathleen Quirk: Yes, we are paying duties currently, export duties currently and those will face out once the smelter gets to a certain percentage, so post 2022 we have the new smelter completed in that timeframe, all of the concentrates will be treated domestically and there won’t be a need to export concentrates and there will be no duty, but we do have duties in our current guidance for 2018 and 2019.
Lucas Pipes: And could you remind me about approximately what amount per pound those duties are?
Kathleen Quirk: You can see, we are paying roughly on the – just on the export volumes, we are paying roughly 5% currently and you can see in our – and I’ll let David to follow up on the exact numbers, but in our operating summary we paid $0.34 and that included royalties and export duties, so it will get you to breakout.
Lucas Pipes: Alright.
Richard Adkerson: Lucas, you may understand this, but just to be clear for everybody, roughly 40% of our production at Grasberg is processed at the PT smelting facility at Gresik that we built in the mid-90s in partnership with Mitsubishi and other Japanese investors. There is no export duty on that. It’s only own exports. And in your question you were talking about royalties and export fees, I mean we do have a royalty that’s assessed on all of the production, it’s unrelated to exports and then there is, we call it an export duty which has been the item of controversy that we’ve had over the last three and half years.
Kathleen Quirk: But the export duty, I guess in those export duty that’s in our numbers or for PT-FI is just under $200 million for 2018.
Lucas Pipes: Very helpful, thank you. And then maybe just to tie up some loose ends, I recall that was a $350 million Cerro Verde royalty dispute, has that been settled, could you give us an update on that?
Kathleen Quirk: There is really no update from our fourth quarter release, I mean from our third quarter release. We are continuing to work with the government officials to – on a settlement that would waive penalties and interests associated with that dispute and those discussions are ongoing, but there is no updated at this time.
Lucas Pipes: Alright, well, I’ll leave it here. Thank you very much and good luck.
Richard Adkerson: And Lucas that $200 million would reduce our taxable income, so that’s a pre-tax number.
Operator: Your next question comes from the line of Michael Dudas with Vertical Research. Please go ahead.
Michael Dudas: Thank you very much. Richard, just wanted to follow-up on your thoughts on the transition from the pit to underground, you seemed much more confident about that in de-risking. What are some of the absolutes that you achieved and what are some that we may look for as we look in for the fourth quarter of 2018 and for the first half of 2019 on the progress and the flow?
Richard Adkerson: Alright, so that’s why we added the slide, I think it’s the first time we’ve used it. What was the slide number?
Kathleen Quirk: On the milestone?
Richard Adkerson: Yeah, on the milestone.
Kathleen Quirk: Slide 19.
Richard Adkerson: If you look at Slide 19, Mark, do you want to?
Mark Johnson: Yes, a lot of the challenge in the Grasberg block cave, the ore body system as Richard indicated, the rail systems there to be finishing, the conveyors that will, the crusher is already placed. The conveyers would be complete all of the way up to the mill in May, so we’ll have six months there where we’ll be able to just convey development mark, which is significant, we’re mining about 6,000 to 7,000 tons a day right now just in developing drifts. The access to the ore body is extensive in the undercut extraction level we’ve got the service level, the ventilation is in place, so there is – all the pieces are there, what we are going to start doing in the late fourth quarter is that we’ll start glassing in the undercut. And then in the beginning of 2019 we’ll start taking draw bells and actually start pulling the material. The cave should develop very quickly, the area in which we’re initially developing the ore body is in a very cave-able portion of the deposit. And at that point when we start that and the pit will be essentially done, there is a little bit of an overlap right now that we’ve reviewed with our consultants, we feel that that can be like a three-month overlap of ongoing pit operations while the block cave, some of this blasting, some of this very – the initial starting of the block cave can go on without any impacts. We’ve got a very good plan for managing the water from the pit. We been able to demonstrate that we can get the water out of the pit before the cave starts up. So there is a whole network or there is a whole list of things that we’ve been checking off over the last year and a lot of it’s been really just getting these meters of development. We did over 30 kilometers of development last year, that drops down little bit this year as we get the ore body developed, so we’ll be doing about 2200 meters a month and all of that just is moving along very well.
Kathleen Quirk: And the big deal in 2018 will be the installation of the ore flow and the scale.
Mark Johnson: That’s right, the shaft is commissioned, we were using that for people and so all these projects are all just starting to come together, the big one will be the ore flow system getting that and we’re doing that a little earlier than what we originally planned and it’s just to get the congestion out of the underground, it will be a much more efficient way of getting development muck out and getting men and materials in.
Michael Dudas: Right, that’s very encouraging, thank you for the update and my follow-up Richard is, I think we will on the corner, hoping some day these conference calls will be little less detailed in negotiations with Indonesia et cetera. If something comes together, however comes together and how do you think it’s going to be announced? And what’s the timeframe from, say, if there was – if it was announced tomorrow, how long it would take to get everything cleaned up and were there certain deadlines, et cetera? How long of a process and how clean of a process you think it will be if you can speculate towards that – towards the conclusion of this derisking?
Richard Adkerson: Sure. And Michael, you’re talk about milestones. I have two personal milestones, I’ll share with you.
Michael Dudas: Please.
Richard Adkerson: One is, when we start paying dividend – when Freeport starts paying a dividend again; and two is, when I can take a group of analysts and shareholders back out to Grasberg to see the place. This underground mine, Mike, I can’t tell you if you remember a trip we had a number of years ago out there, but this underground mine is really spectacular. I mean, it is not like anything you would think of as an underground mine. But it’s like a major manufacturing facility to see. And so anyway, I just – Michael, I just want to say, but okay…
Michael Dudas: Those are great milestones.
Richard Adkerson: Yes. So what – actually, given the authority that the President has given to these ministers, reach an agreement is the key and documenting of things we’ve already worked on. I mean, we’ve gotten the form of the IUPK, where we’re working on. There’s an attachment. There’s – coming up with the structure to assure us that it can’t be changed by future laws and regulations. So there’s not going to be, this is something that the government is authorized to do under current laws. So it will not require changes to their laws or the involvement in the parliament in changing laws. The parliament will be informed and involved from that standpoint. But once the agreement is reached, the process of getting it documented is, it will be straightforward and not time consuming.
Michael Dudas: Excellent. Look forward to those dividends. Thank you, Richard.
Operator: Your next question comes from the line of Novid Rassouli with Cowen & Company. Please go ahead.
Novid Rassouli: Hi, Richard and Kathleen, thanks for taking my questions. Just two for you first on Indonesia. The ongoing due diligence related to Indonesia potentially purchasing your JV partner share, does that have the ability to potentially delay Freeport’s goal of having an agreement here on the longer-term contract in the first-half of 2018?
Richard Adkerson: No, the timeframe or the first-half, which is – has really been set more by the government is to allow for that due diligence. So, we had all hoped to have more formal agreements reached by the end of the year. But there was a decision that having the need for this due diligence and that’s why the target of midyear has been put in place to allow for that due diligence.
Novid Rassouli: Got it, make sense. And then my second question, I think, anybody has really talked or asked about the broader copper market. So I’m going to go ahead and do that now. So based on the lack of investments over the past few years, as you highlighted in the past few calls, what do you expect the copper market to reach kind of peak tightness or deficits, I mean, in the coming years before maybe reaching an inflection point? As you said, we’re kind of getting close to that 3.25 that you said is necessary for people that have the incentive to start investing, haven’t really seen anything incredibly material yet. So just wanted to get a sense of how you’re seeing the next two years and when we reach that inflection point? Thanks, Richard.
Richard Adkerson: All right. Well, thank you, Novid. The – you tell me what global growth is going to be. You tell me what China’s going to be, because my view is the supply side of this subject to the uncertainty about disruptions, which could only be supportive of supply. They’re not going to add supply, but they could take it away, is pretty clear cut at this point. Surprises will be on the negative side. You’re not going to see somebody say in the near-term, we’ve got significant amounts of new production that nobody knew about. People will work to – at the margin increase production, but it’s just going to be at the margin. And you know, you look at the long-term projects that are out there, whether they’re – whether it’s resolution Olympic dam, our big projects that we’re talking about El Abra and others, there’ll be more copper coming out of Africa, I believe, based on our experience there. But that’s going to unfold over a number of years because of the nature of the mineralization and how it has to be mined. You look at the experience of Oyu Tolgoi, it’s a great resource, great ore body. But the number of years that it’s taken to ramp up and the continuing issues they face with border crossings and power and the government. I mean, that’s just fundamental to all these big projects. So I think, you can your arms around supply outlook relatively easy. And then you plug in your own view about what you think the global economy is going to do. I just went back to Houston this week to give a luncheon address, not to a mining group, but to a general business group. And of course, it took me back after living in Houston for so long. And back in my earlier career one of my first clients was Mitchell Energy, which kind of kicked off the shale industry in the mid-1980. In the oil and gas, people were asking me, is there anything like share for the copper business? Because nobody expected the U.S. to bypass Saudi Arabia and Russia and to produce 12 million barrels of oil a day. I mean, back in the 1980’s, we were thinking of importing 75% of the oil production dropping to 4 million barrels. But the great thing about copper and you take it with a grain of salt, because my feelings on this, which have been the same basically since of I became CEO in 2003 is, its uses are just built into the economy in such a way that it’s really hard to replace for its basic usage, you can do it for plumbing and things like that. But when you look at the way the world’s going with the electrical – electronics everybody talks about electric vehicles and that could be a big deal. Alternative energy development could be a big deal. But just how much electronics are increasingly built into our lives, whether it’s communications or control systems, power delivery systems, the development of the world for basic things like refrigerators and air conditioners, maybe I shouldn’t say washing machines. But in any event, it’s just a commodity, I think, that is so well situated for how cheesed in the economy. And – but – so you’re subject to the risk of the economy of China on the global economy. But supply side, there’s no shale copper coming on stream. People are talking about mining in the ocean or on asteroids and things like that. But we should – we’re just seeing in terms of basic production, the new projects are a major less quality than the old projects were. They have much lower grades. You have to do a lot more stripping, building infrastructure, getting water, getting power, all of these things make the supply side of copper, I think, extraordinary well supported. I tell people today, we can increase price of copper to $6 a pound overnight, and we have what I just show 300 billion pounds of undeveloped copper resources. We could not bring them on stream to five to 10 years from now, even with $6 copper. So it’s a great commodity and that’s why I like where our company is so on.
Novid Rassouli: Thanks, Richard.
Richard Adkerson: Thank you.
Kathleen Quirk: Operator, are there anymore questions? Hello?
Richard Adkerson: We can’t seem to get to the operator. So I don’t know if everyone else is still on the line, but…
Operator: This is Lucie [ph]. Can you hear me?
Kathleen Quirk: Yes, we can.
Operator: Okay. We had an issue in a call center, I do apologize. Our next question will come from the line of Piyush Sood with Morgan Stanley.
Piyush Sood: Hi, Richard and Kathleen, thanks for taking the questions. First one, at Grasberg, it seems like total CapEx to be spent over the next five years may have declined to about $900 million to $1 billion. I just wanted to understand if that’s surrounding it, or is there something else over there?
Kathleen Quirk: No, there really wasn’t anything. It was just the time period of five years that we will, incurred last quarter versus this quarter and the way the rounding fell. So no material differences in our plans.
Piyush Sood: All right. And staying with Grasberg, labor relations at Grasberg seem to have improved. So could you comment on maybe worker productivity, how you’re taking care of expectations around employment as you move underground? And when we could expect the new labor contract?
Richard Adkerson: Okay. So we signed a new labor contract in December, that’s for two years, under Indonesian law, we have to do a new one every two years. So we have signed it. Mark make some comment – I’ll let you make some comments, because you live with this thing.
Mark Johnson: Yes. Well, 2017 was a very dramatic year on the labor. In February, we had 32,000 employees and has combination of employees and contractors. With the export ban, we had some cost reductions, it was kicked off with a 10% employee hurdle program. After we started that program, we had a number of employees that went on an informal strike, it was not a legal strike, it started missing work. And with the labor laws in Indonesia, they essentially resigned their positions. And that resulted in about 5,000 employees leaving. Recent to that, it’s back about 4,000 contractors, so we went from 32,000 to 24,000. And now we’re back up to around 28,000. The PT-FI component of that is under 8,000 employees now, it was 12,000. The contractors that we hired in have been very cooperative, have been very energetic. We’ve had a very good response. As kind of a byproduct with the new guy coming in, our PT-FI work forces also picked up the efficiencies and we’re seeing a much improved morale, our safety. With all of that transition, we have the lowest incident rates for our reportable accidents that we’ve ever had since the beginning of the project. So we feel good about the status of our labor force, the composition of contractors and internally employees, and really the effectiveness of our supervisors with under a new – kind of a new composition of labor. As Richard said, there was a lot of transition within the labor unions that we’ve dealt with their leader had been removed. He had some legal issues. He’s out of the picture. The new team has come in has worked very closely with us. There’s a second union that we’re dealing with, that was kind of a new component of our negotiations this year, but all of that worked out. We went on a little bit longer. But we didn’t have any threats of strikes. We didn’t have any concerns that the workforce is going to – have any sort of a walkout. So during that whole period of negotiation, we didn’t see an interruption in our production, and it allowed us to focus on safety and bringing these guys on and focusing on the project. So we saw some benefits in there, for instance, in the Grasberg pit. Our unit rates went down by about 30% in the fourth quarter to what they’ve been in the first part of the year. So we’ve seen efficiencies. We’re getting more out of each worker, and that’s also run into on the development side and then into the capital projects. So we feel well-positioned in 2018 with the group that we have.
Richard Adkerson: And for years, we’ve been planning for this transition, because it is new skills, new work requirements and so forth in the underground from the open pit without the drivers for the all trucks and the big electric shovels and so forth. But we’ve been doing that and it’s much more mechanized. So anyway, that’s all progressed very well.
Piyush Sood: Great. That’s helpful. And Kathleen, you did comment on the long-term prospect for Grasberg at about $0.50. But just want to understand as we go into a transition year in 2019, is there kind of a step down coming in your total cost over there or would cost kind of lag – the decline in total cost lag while maybe production also – so should we kind of expect cost to go up drastically on a per pound basis or do you have some control around that?
Kathleen Quirk: In terms of absolute cost, we are not anticipating any significant changes on a unit basis, on a metal basis you know it will depend on the volumes and the grades that we’re mining, so in 2019 as we get into a lower year, we will have higher costs than what we had in 2018, but it is still very, very attractive on a unit basis although it’s cost mine in the company. So, as we go forward, we start to improve on the volumes after 2019 and the cost position goes down as a result on a metal basis per unit, but in terms of absolute costs, we are not expecting to have major changes in the absolute total costs of the operations.
Richard Adkerson: You know generally our costs are fixed, there are some things that vary, so when definitely some of that cost going up is unit cost going up, absolute cost we’ll continue to manage to keep as low as we have, but for most part that’s fixed.
Piyush Sood: That’s very helpful, thanks so much for the color.
Richard Adkerson: Alright thank you, so let’s have our last question and appreciate, I think it was, Michael was saying he looks forward to when we don’t have to talk so much and nobody looks more forward to that than me.
Operator: Okay, our final question will come from the line of Karl Blunden with Goldman Sachs. Please go ahead.
Karl Blunden: Hey guys thanks for taking the question, all the questions today. I think you had alluded to this a bit in the call, a question back on Grasberg. So it sounds like potentially if the government is looking to get a 51% stake in the asset that Rio’s stake would count towards that, is it clear that you’d be able to I guess get away with a much smaller divestiture than initially thought about?
Richard Adkerson: Well, I would not use the term get away with, you know, but you know if Rio Tinto wants to sell they would reach agreement and they buy, it means that there will be a much lower level of divestment that would come to PT-FI. So the government currently owns 9.36% of – in effect the long-term 60% interest, so that’s 5% plus. Rio Tinto has 40% and so our remaining divestment obligation would be roughly 10% of PT-FI which would be another net 5% plus, so that’s the way the math would work and it’s all contingent on everybody reaching an agreement on that transaction. That’s the best outcome considering that Rio – it’s up to Rio Tinto, they have been great partners, so anyway, but then their negotiations are with the government, we’re facilitating them, but they have direct negotiation with the governments, so it would ought to be an elegant outcome.
Karl Blunden: That’s very helpful. And then you mentioned earlier credit ratings momentum certainly been positive, what are the next steps we should look at or what are the gating factors on further upward momentum for you guys when you discuss this with the agencies?
Kathleen Quirk: Well, I think you know if you just look at our credit statistics and our balance sheet and cash flow generations, and really the portfolio of the assets that we have in the company I think our credit metric signals high ratings, but won’t continue to review these with the agencies as we go forward.
Richard Adkerson: Look, we’re focused on getting this Indonesian thing resolved and recognizes and until we do, you know that’s going to be a factor for credit ratings, stock valuation, share valuation and everything, so we know what we need to do and we are focused on getting it done. So, let’s see.
Kathleen Quirk: Are there any more questions? Okay.
Richard Adkerson: Okay listen, thanks for all of you who stuck around to the end of this and we appreciate your interest. If you have follow-up questions contact David Joint, thank you.
Kathleen Quirk: Thanks everyone.
Operator: Ladies and gentlemen, that concludes our call for today. Thank you for joining. You may now disconnect.